Operator: Good morning ladies and gentlemen for standing by, and welcome to the Quad/Graphics Third Quarter 2017 Conference Call. During today's call, all participants will be in a listen-only mode. [Operator Instructions] A slide presentation accompanies today's webcast, and participants are invited to follow along advancing the slides themselves. To access the webcast, follow the instructions posted in last night's earnings release. Alternatively, you can access the slide presentation on the Investors section of Quad/Graphics' Web site under the Events and Recent Presentations link in the left-hand navigation bar. Following today's presentation, the conference call will be open for questions. [Operator Instructions] Please also note, today's event is being recorded. At this time, I'd like to turn the conference call over to Kyle Egan, Quad/Graphics' Senior Manger of Treasury and Investor Relations. Kyle, please go ahead.
Kyle Egan: Thank you, operator, and good morning everyone. With me today are Joel Quadracci, our Chairman, President and Chief Executive Officer; and Dave Honan, our Executive Vice President and Chief Financial Officer. Joel will lead off today's call with highlights of our financial results along with discussion of our Company's ongoing strategic transformation. Dave will follow with a more detailed review of our third quarter 2017 financial results, followed by Q&A. I would like to remind everyone that this call is being webcast and forward-looking statements are subject to Safe Harbor provisions as outlined in our quarterly news release and in today's slide presentation on Slide 2. Our financial results are prepared in accordance with Generally Accepted Accounting Principles. However, this presentation also contains non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin, free cash flow and debt leverage ratio. We have included, in the slide presentation, reconciliations of these non-GAAP financial measures to GAAP financial measures. A replay of the call will be available on the Investors section of our Web site shortly after we conclude today. The slide presentation will remain posted on Quad/Graphics Web site for future reference. I will now hand the call to Joel.
Joel Quadracci: Thank you, Kyle, and good morning everyone. I am pleased to report that our third quarter 2017 results were inline with our expectations and reflect the continued great work by our team to sustainably reduce costs, win profitable new volume, and expand existing relationships. On our path forward, we will remain consistent and disciplined in how we manage all aspects of our business to minimize the impact of ongoing industry and economic pressures, and help maintain Quad/Graphics' status as the industry's high-quality low-cost producer. This includes generating sustainable free cash flow to strengthen our core platform, support our company's ongoing transformation in Quad 3.0, and fulfill our commitment to providing long-term shareholder returns. We continue to drive EBITDA enhancement through ongoing productivity improvements and sustainable cost reductions, while staying focused on improving top line revenue. Despite ongoing industry pressures, we again demonstrated our operational expertise this quarter and held the line on adjusted EBITDA margin, which remained flat to 2016. To strengthen our balance sheet we remain focused on reducing debt. As a result, our debt leverage ratio, at 2.22 times, is lower than last quarter and at the lowest point since 2012. We continue to accelerate our Quad 3.0 transformation through the creation of an integrated marketing services platform that helps brand-owners market their products, services, and content more efficiently and effectively. To fuel our transformation, we continue to build sales momentum in the marketplace. In fact, a number of marketers and publishers have entered into exclusive contracts with Quad/Graphics. For example, Bluestem Brands recently extended and expanded its relationship with us for paper purchasing, printing, and mail distribution for all 13 of its brands. The new contract extends catalogue production of Bluestem's Fingerhut and Gettington Brands, and awards us 11 additional brands under its Orchard portfolio beginning in 2018, and is worth over $415 million over the term of the contract. Bluestem Brands understands the critical role print plays in the marketing mix, particularly in its effectiveness to drive traffic online. The retailer also uses several of our multi-channel services including digital photography and video production. Another example is Conde Nast, which publishes such iconic magazine titles as GQ, Vogue, Bon Appetite, and Vanity Fair. Recently Conde Nast renewed 10 titles with us, and awarded us six additional titles that begin January of 2019. With this contract we become Conde Nast's exclusive print provider. These and other recently awarded contracts across all products and services validate the strength of our platform and relationships, and underscore our ability to deliver value as a strategic partner. Our ability to create client value has remained consistent. The first way we deliver client value is by helping our client simplify how they operate within their own organizations to save time and money. Through our workflow discovery and process optimization programs, clients are free to focus on what they do best, connecting with brand enthusiasts. The second way we deliver client value is by helping client sell more of their own products, services, and advertising by improving marketing spend effectiveness using data-driven marketing across online and offline channels. For example, a specialty [ph] retailer with over 100 stores recently engaged us to help it increase sales and acquire new customers. The retailer initially came to us through our media planning and placement services. Through our integrated marketing platform we provided overall campaign management, paid media planning and placement, consumer engagement tactics such as contests, quizzes, coupons, and social sharing, and creative ideation and design. We orchestrated the campaign across all consumer-facing media, including mobile, print, in-store, web, and social channels. We also delivered multi-channel attribution and actual insights through the campaign. As a result, the retailer achieved nearly a 5% increase in sales on the same number of transactions compared to the prior year's events. The retailer's consumer engagement also increased with 23% of campaign participants converting to customers. With our help, the retailer also was able to eliminate the use of multiple agencies and the associated complexities of managing all those relationships. In fact, the retailer has named Quad/Graphics agency of record, and continues to engage us for additional campaigns including an up-and-coming holiday promotion in which we have to develop the campaign, and will implement it seamlessly across all touch points, both online and offline. And at some point, we aim to print for the retailer too. Our marketing services are fortifying downstream print revenue across multiple product lines and solutions, and will drive an estimated $100 million in incremental new business in 2017, as we shared on our last quarter's call. Before I turn over the call to Dave, I want to recognize and thank our employees for the very important role they play in Quad's ongoing transformation. I am really proud of everything our employees are doing to keep Quad/Graphics client centric and competitive. I'm also proud of employees' commitment to help each other and live by our values, both inside and outside of our company. Following the September earthquake in Mexico City, 20 of our employees reported major damage to their homes. Co-workers abroad immediately began asking how can we help, and in response we launched a global employee fund raising campaign to raise the money to repair their homes and rebuild their lines. I am proud we continue to live out our model. Together we can do more than as individuals apart. And now, I'd like to turn the call over to Dave.
Dave Honan: Thanks, Joel, and good morning everyone. We're pleased to report that we delivered third quarter results that were inline with our expectations as would continue to execute on our strategic objectives and delivery our full-year 2017 financial guidance, which was narrowed for today's call. Slide four provides a snapshot of our 2017 third quarter and year-to-date financial results as compared to 2016. Net sales for the three months ended September 30, 2017 were $1 billion, down 4.8% from 2016. Organic sales, which exclude pass-through paper sales and foreign exchange impacts, declined 3.7%. Pass-through paper sales were down 1.2%, and foreign exchange gains positively impacted sales by 0.1%. Net sales for the nine months ended September 30, 2017, were $3 billion, down 5.2% from 2016, with an organic sale decline of 3.7%. The quarter and year-to-date organic sales declines were due to ongoing industry volume and pricing pressures and were within our annual guidance for volume declines in the range of 1% to 4%, and price declines in the range of 1% to 1.5%. Adjusted EBTDA for the three months ended September 30, 2017 declined $6 million to $116 million, as compared to $122 million in 2016, while our adjusted EBITDA margin remained flat year-over-year, at 11.5%. Adjusted EBITDA for the nine months ended September 30, 2017, was $334 million, a $6 million or 1.8% decrease from 2016, of $340 million. Yes, our adjusted EBITDA margin increased 30 basis points to 11.2% compared to 10.9% in 2016. This was primarily driven by sustainable cost reductions and ongoing productivity improvements. Included in these lower costs are a $5 million gain from a property insurance claim during the second quarter of 2017, and $9 million of net non-recurring benefits primarily from a $19 million reduction in our vacation accrual in the first quarter of 2017, partially offset by a $10 million one-time benefit recognized in 2016. The company generated $118 million of free cash flow for the first nine months of 2017, this compares to $202 million in 2016, and represents an $84 million decrease between years. This decreased was primarily driven by a $48 million net impact from reduced employee-related liabilities net of lower cash payments for restructuring, and the $27 million reduction and the benefit from our controllable working capital improvement program, and finally, a $14 million increase in pension contributions for a settlement related to an exited multi-employer pension plan. The impacts from lower employee-related liabilities and less year-over-year benefits from controllable working capital reductions were expected, and were reflected in our original free cash flow guidance. However, the increased multi-employer pension payments were not anticipated in free cash flow guidance, but their impact will be primarily offset by lower interest and lower income tax payments in 2017, and are reflected in our narrow annual free cash flow guidance of $240 million to $260 million. As a reminder, we generate the majority of our free cash flow in the fourth quarter of any given year due to the seasonality of our business. We believe that we have an industry-leading free cash flow conversion rate. Free cash flow conversion represents the amount of free cash flow generated from every dollar of adjusted EBITDA earned, which in our case is over $0.50 of free cash flow for every dollar of adjusted EBITDA. On slide five, we've included a summary of our narrowed 2017 financial guidance. Full-year 2017 net sales are expected to be approximately $4.1 billion, which is within our original guidance range. Full-year 2017 adjusted EBITDA is expected to be in the range of $450 million to $470 million, narrowed to the midpoint of our initial guidance range. This represents higher adjusted EBITDA margins than in 2016 at the midpoint of our guidance. 2017 free cash flow is expected to be in the range of $240 million to $260 million, narrowed to the midpoint of our initial guidance range. As mentioned previously in my comments, we expect higher pension contribution for multi-employer pension plans to be primarily offset by lower interest and lower income tax payments. All other guidance remains unchanged. Slide six includes a summary of our debt capital structure as of September 30, 2017. We continue to remain focused on strengthening our balance sheet through debt reduction. Since December 31 of 2015, we've reduced our debt by approximately $300 million, which is nearly a quarter of our total debt. And we finished the third quarter with just under $1.1 billion in debt. This debt reduction resulted in the lowest level of debt for Quad as a public company. And our debt leverage ratio improved further to 2.22 times at the end of the quarter. We continue our focus on debt and pension reduction as the primary uses of cash, and believe that operating within our consistent leverage range policy of two to two-and-a-half times over the long-term is the appropriate target. As a reminder, we may operate outside this range depending on the timing of compelling strategic investment opportunities. Our debt capital structure is 63% fixed, and 37% floating, with an advantageous blended interest rate of 5.1%. Available liquidity under our $725 million revolver was $686 million at September 30, and we have no significant maturities until January of 2021. Slide seven shows our commitment to our dividends, which is a key way in which we return value to our shareholders. Our next quarterly dividend of $0.30 per share will be payable on December 1, 2017 to shareholders of record as of November 20, 2017. We've consistently paid a quarterly dividend, and our annual dividend of $1.20 per share is yielding over 5%, but represents only 25% of our free cash flow at the midpoint of our guidance. Also, during the third quarter of 2017 we repurchased approximately $4 million worth of Quad shares at an average price of $18.89 per share as part of our existing $100 million share repurchase program authorized back in 2011. We have $79 million of remaining availability under the share repurchase program. We are committed to increasing long-term shareholder value, and given the dip in our stock's trading price during the third quarter and our confidence in the future outlook of the company, we believe opportunistic share repurchases are a prudent use of cash and represents an attractive opportunity to increase shareholder returns. We carefully balanced the share repurchase with our stated use of cash to continue to pay down debt and reduce leverage. We are in the midst of our seasonally busiest time of the year, and we're focused on finishing the year strong and delivering on our 2017 financial guidance. We'll continue to work on offsetting the impacts of top line pressures and reinforce Quad as the industry's high-quality low-cost producer by driving further EBITDA enhancements and strong free cash flow generation. Equally important, we'll continue to focus on strengthening an already healthy balance sheet through ongoing debt reduction while continuing to invest in our business to accelerate the Quad 3.0 transformation and return capital to our shareholders through our quarterly dividend among other priorities. And now, I'd like to turn the call back to our operator who'll facilitate taking your questions.
Operator: Ladies and gentlemen, we'll begin the question-and-answer session. [Operator Instructions] And our first question today comes from James Clement from Macquarie. Please go ahead with your question.
James Clement: Yes, good morning, gentlemen. Can you hear me?
Joel Quadracci: Yes, we hear. Good morning, James. How are you?
James Clement: Okay, great. Hi. Joel, top line performance for the quarter, at or maybe even a little bit better than trend line looking back over the last couple of years. Retailers is struggling, publishing industry being disrupted. But you guys seem to be doing quite well. Is this a function of perhaps concerns about the intersection of Quad/Graphics and those kinds of customers being overstated, or is this because you're winning business via Quad 3.0, or a little bit of both?
Joel Quadracci: Well, look, we'll continue to watch our clients closely because, as I say, we experienced the disruption as apparent a lot earlier than most. But again, you look at what's happened in publishing or in retail; they have continued disruption going on. There's lots of things going on to help offset that. People are reinvesting in stores, some people are closing stores, and you'll see this continue to happen, but I think you're right in your assumption that our strategy is really working. We've talked about 3.0 for a while. And 3.0 wasn't just a light switch that happened yesterday, it's something that we started migrating towards several years ago. But at a time of disruption is the time where new models can really take hold. And I've talked about that I've been surprised at how fast people are reacting to this. And so yes, we referenced the $100 million in incremental revenue that just the 3.0 conversations have had with existing clients for 2017, and we're in early innings. So long story short, we continue to plan for decline, but not just 3.0 conversations are starting to create momentum, but also we're in other product lines that we've created, whether it's packaging or direct mail. I mean, talking about direct mail, I talked about having these personalized direct mails. And in fact, we've started up our second large format digital press just in October that has created a lot of opportunities. So it's coming from a lot of areas. But I think that what we feel good about is the strategy is playing out and it's working the way that we hoped it would.
James Clement: Okay, great. And then, next question. You all stayed out of the acquisition market for the last couple of quarters here although the last couple of years, couple of packaging deal that kind of thing. Is there anything keeping out of that market? The acquisition market in packaging, is it just a function of evaluation of price at this point?
Joel Quadracci: No, I mean to say we are out of it is we are not out of it, we just haven't executed on anything. We are always looking and we're always paying attention. But it's got to make a lot of sense. You know the story in the consolidating acquisitions. We know how to do that. We pay attention to those opportunities. Right now with 3.0, there is a lot of philosophical sort of balancing we had to between the do you go bid or do you buy it because a lot of things that we do in sort of scaling the 3.0 conversations is really talent based.
James Clement: Right.
Joel Quadracci: And so, I got to be careful about there is a lot of disruption in the agency world. And so do you buy someone else's legacy model that is starting to fail or do you take the displaced talent that is leaving that model because they see a better way. And we're having no problem finding talent to fill those roles. And when you think about packaging, we've created close to a $200 million packaging business, but where we are spending a lot of time on that is the 3.0 conversations in packaging which we are finding is rather unique. And so, we're having conversations with some very big packaging brands that are more along lines of what I referenced in that -- in the scripted part of the call, with that retailer were the agency of record and by the way we don't print for them yet. So we're seeing those opportunities play out in every sector that we are in. And that's if you'll recall, I switched from talking to QUAD about Chapters to 1.0, 2.0, 3.0 because it's really an enhancement of all the product lines that we have. And again -- so we've got a great balance sheet going on here. We have created a lot of dry powder not because we're trying to, but because the strategy working is allowing us to. And so what's happening here is we were paying attention to a lot of things. We are trying to figure out build versus buy in all the right areas. But we've created huge amounts of optionality no matter what comes our way in terms of uses of capital. And we'll be very disciplined about that.
James Clement: Okay, thank you very much for your time, and good job, good job.
Joel Quadracci: All right, thank you, Jamie. Operator, next question?
Operator: Our next question comes from Dan Jacome from Sidoti & Company. Please go ahead with your question.
Dan Jacome: Good morning. How is everybody?
Joel Quadracci: Good. How are you?
Dave Honan: Good morning, Dan.
Dan Jacome: Doing well. Thank you. Just couple of questions here; first on the Bluestem contract renewal, that looks like a positive, can you just flesh out for us what you're going to -- I know you talked a little bit about it, but some more details on that please. What are you going to be doing different with one you think versus the prior contract which I am assuming was probably within 3 to 5 years? And then if you can elaborate on it, I was just curious about how typically the bidding process is for these sorts of contract. And if this one was by any chance competitive or not competitive, any color there? That was my first question.
Dave Honan: Well, first of all, in this industry every contract bid process is competitive. But the relationship we created with Bluestem which is many of you know is the old Fingerhut has been over many years. And has been a lot of big aspect too has been sort of the 3.0 conversation early on. We had taken over the paper buying from them. We do a lot of imaging work. We do a lot of video and photography for them. And so, when you look at I think the importance of this is they acquired a competitor that was bigger than them from a volume standpoint. So Orchard brand is one of the biggest catalogers out there. And so, I think the real big thing to note here is that the part we are winning is bigger than what we have. And so combined it's worth over $450 million over the term of the contract. And is heavily focused on the QUAD print as well as payer buying but also creates the opportunity to expand some of the other services that we have been doing for legacy Bluestem. We still have to earn that. We have to bid on it competitively. But again, I think that we have proven over time with the parent company that we're great partner. And so, I think that's the most color I can probably give on it. But, yes, I mean it's a great win for us and we are pleased with it. And it's a profitable win. So from the standpoint of, yes, everything is competitive, but we're not going to -- yes, we have spent so much time and effort on right sizing platforms and investing on the best platforms, we are not going to tie up valuable capacity with stuff that isn't profitable. And so, we do maintain a very heavy discipline making sure that the value add is greater than the pressure to lower prices. And so, I think we've hit a pretty good balance in a lot of market share wins we are having these days.
Dan Jacome: Okay, okay, that helps. And then, I feel silly for asking this, but media placement seem like a buzz word in the prepared remark you had. And can you just elaborate a little bit more on what that is for people like me that are not very marketing savvy? Is that more like a customer trying to figure out if they are going to put a printed add in a Condé Nast magazine or is it something like in a Twitter, Instagram? Any help there will be good.
Joel Quadracci: Yes. So the media planning and placement actually came as part of an acquisition of Vertis, which is a retail insert. I have my good friend Stephanie Staben [ph] who runs that, and her whole team split up in a couple of areas; I just visited some of them in Saratova [ph]. They are doing originally traditional media planning and placement. So when a marketer is trying to decide where do they put those retail inserts, they use a lot of analytics to tell you very efficiently what newspapers, which geography should you be in to get the most bang for the buck. And so, it's not just as simple as oh, well, let's just go place these inserts. It's actually let's place them in the right places. And so, we entered this relationship through that, not through print but ended up executing as agency record. I think they went from 10+ agencies down to two now, which was one of their goals. And they also had flat sales for the past -- flat to declining sales last several years. And because of our program, we turned that to a 5% increase in revenue on same number of transactions. So it's to me the power that we've done in 3.0 is about integration of the offering. And if -- and if we had to disrupt ourselves several time to make that work, so I have had to change how the sales force functions. I had to change how even the executives run each of their different product line function, so that when we are executing as one company, it really feels like one company. And so, to me that allows us to have any conversation we have with any customer, any one of those areas can be an entry point for the rest of the whole. And while I have been using sort of the print as the examples for all of you to understand what we are doing is the natural entry point to have these bigger discussions. This was a wonderful example of we entered in something completely different that QUAD didn't do previous to the Vertis acquisition which is very 3.0-ish, and has resulted in a total 3.0 sale without even sort of call to 2.0 print. To this day, I am still giving these guys time while we couldn't have sold the print as well. And so they know what the goal, but it's great to just only be an agency of record for a very quality -- high quality marketer who has many retail stores that's dealing with disruption as a printer but not actually doing the printing yet. And so, I think it's reason I share that example is again 3.0 is about enhancement of anything we do. And we just happen to have a lot of tools in our tool shed when it comes to execution of your marketing plan from print all the way through. And so whatever conversation we can have with anybody who markets about selling more of their product and doing it more efficiently across all channels than they do today that's an opportunity for QUAD. And so that's where we're really kind of sort of blurred the line which has really changed how people refer to us.
Dan Jacome: Okay, and then -- appreciate that. I just had a two more high level questions. Is there any update -- you've been doing co-mailing for quite some time. Is there a maybe -- is that running status quo in line with your expectations when you started the year? Maybe a little commentary there just to help out. And then from modeling, I know we are not about 2018 just yet, but is there any reason to think that your tax rate would be different -- GAAP tax rate would be any different versus what you have for 2017 at all? Maybe you can talk about that. Thank you.
Joel Quadracci: I'll start with the role of co-mailing and Dave can take on the exciting role of tax. So co-mailing is given again very economically driven because the post office gives a lot discount -- potential discounts to our clients to bypass most of the post office. And when you look at the volume that comes out of QUAD, it's over 7% as a volume of the post office. It's comes out QUAD plants. And so the printing industry has become good at that. We will continue to wring out every last cent on that. I think the challenge for everyone now is where does the post office go, because we are kind of coming up against a timeframe here where they will be going making some calls the future process for rate increases. I just spoke to the speaker of the house just last week or the week before to really try and urge him to get the bill to fix the post office on to the floor, which has been around for awhile. It's just that we can't get through all the noise of Washington even though as I point out to him this is easy win for everyone. It's got bipartisan support. It's got support of all four unions and it's got support of the mailing community and the post office. And so he is obviously from Wisconsin. We have a lot of employees that are impacted by the post office here and throughout the country. And so we are doing what we can to try and impact that. But in terms of the continued efficiency through the post office, that's a place that we only increase every year our ability to offset the cost.
Dan Jacome: Okay.
Joel Quadracci: And so with that, I'll turn it over to Dave for some exciting tax thoughts?
Dave Honan: Thanks, Joel. No real change in the outlook for the long term effective rate. That's something between 37 and 38%. Now that's obviously pre any legislation that could happen on tax reform.
Dan Jacome: Okay, fair enough. Appreciate that and -- okay, Joel, actually follow-up on just what you were saying about the post office. I am assuming you are not the only leader from a commercial printer entity that is speaking to people on that, is that just kind of a safe assumption?
Joel Quadracci: No, I think industry you have a lots of associations. You've got competitors, but we do try and speak where we can as one voice. And so, we'll be in the room with competitors with different client segments all the time, and the fact that there is agreement -- general agreement that's not perfect but on the future solution that's a big deal in an industry like this.
Dan Jacome: Yes, absolutely. I meant it in a positive way. You have support behind your back with other people in the industry, it would make more sense that the people…
Joel Quadracci: It's in everyone's best interest. I mean RR Donnelley is a big mailer. LSC is a big mailer. We are a big mailer. There is a lot of other people out there. Survival of the post office means a lot to commerce in general. So, it's not just the printing industry. It's not just the users of the print industry, but it's very important to even rural communities and how they conduct commerce. So there is a lot of voices on this.
Dan Jacome: Okay, great. Thanks a lot.
Joel Quadracci: Any other questions, Operator?
Operator: Sir, at this time, I am showing no additional questions.
Joel Quadracci: Okay. With that, we thank you all for your time and we will be back to you at the yearend in February. Enjoy the rest of the week. Thank you.